Operator: Good day, and thank you for standing by, and welcome to the Las Vegas Sands Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker for today, Mr. Daniel Briggs. Thank you, sir. Please go ahead.
Daniel Briggs: Thank you. Joining me on the call today are Rob Goldstein, our Chairman and Chief Executive Officer; and Patrick Dumont, our President and Chief Operating Officer. Also joining us on the call are Grant Chum, our Chief Operating Officer of Sands China; and Dr. Wilfred Wong, who are about to get connected and I apologize for starting late. Before I turn the call over to Rob, please let me remind you that today’s conference call will contain forward-looking statements that we are making under the Safe Harbor provision of federal securities laws. The company’s actual results could differ materially from the anticipated results in those forward-looking statements. In addition, we may discuss non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures is included in the press release. Please note that we have posted supplementary earnings slides in our Investor Relations website. We may refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in the Q&A session, we ask that you please respect our request to limit yourself to one question and one follow-up, so we might allow everyone with interest the opportunity to participate. Please note that this presentation is being recorded. With that, let me please turn the call over to Rob.
Rob Goldstein: Thank you, Dan, and good afternoon and good morning to our colleagues in Asia, a very good morning for our colleagues in Asia. Thank you for joining our call today. We will have some brief comments and then we will go right to Q&A. Our results continue to reflect the pandemic’s impact. Travel restrictions continue to affect visitation and our financial results in both Macao and Singapore this quarter. We did generate some positive EBITDA for the quarter in both markets. We remain confident in the eventual recovery in both Macao and Singapore. The good news in Singapore, the travel restrictions and travel carters were established with many important source markets during the quarter. Indonesia, Malaysia, South Korea, Australia, Thailand were all part of the initial rollout of the DTO program. And obviously, emergence of Omicron variant impacted the DTO program in late December. The DTO should contribute to a more robust recovery over time. Our confidence in the long-term opportunity in Singapore remains deep, and I am pleased to announce we have embarked to a $1 billion U.S. renovation project at MBS that will introduce luxurious new suite product to the resort. The program will meaningfully expand our room suite offerings and significantly enhance our appeal to premium customers. In Macao, the Londoner is near completion. As the market recovers, both the Four Seasons and Londoner will provide growth opportunities -- material growth opportunities in both the premium and mass customer segments. We continue to have the largest footprint in the world’s greatest market, Macao, and appreciate the opportunity to provide input in the public consultation process ongoing. We look forward to participating in the tendering process as it proceeds to fruition. Customer demand and spending in Macao have proven resilient at the premium mass level from both a gaming and retail perspective, as outlined, I think, on pages 29 and 30 in your deck. We continue to have great optimism about our ability to perform to pre-pandemic levels once visitation returns. You may know our company is divided primarily into three material areas, the most important being Asia, the portfolio in Macao and Singapore. We remain confident we will return to strong positive cash flow in both Macao and Singapore in the future as restrictions are eased and travel and tourism recover. The sale of Las Vegas creates liquidity and optionality as we pursue additional large-scale, land-based destination resorts in the U.S. and Asia. And we continue to build our digital presence. We are exploring multiple opportunities at this time and we will provide some color at the appropriate time. So let’s go to your questions and thank you for listening.
Operator: [Operator Instructions] Your first question comes from the line of Joe Greff with JPMorgan.
Joe Greff: Good afternoon. Good morning, everyone.
Rob Goldstein: Hi, Joe
Joe Greff: Rob and Patrick, I’d like to start off on the topic of capital return and how you are thinking about that, particularly in light of $5 million in gross cash proceeds coming in the next couple of months. Does that cause you to probably rethink that capital return is more of a near-term event? Or do you really need to see a recovery in both Macao and Singapore before you initiate some sort of capital return? I know you mentioned liquidity/optionality for new jurisdictions in the U.S. and Asia, so in that that’s part of the calculus. But if you can refresh your thinking on capital return, I think, that would be helpful for us?
Rob Goldstein: Patrick?
Patrick Dumont: I am happy to. Yeah. Hey, Joe. I appreciate the question. I think we have been pretty consistent in our thinking. It’s been part of our long-term strategic plan, how to create additional capacity to really grow this business. Sheldon has really started from the beginning as you know, you followed us since day one that he’s really been a developer of large-scale projects, and I think that ethos continues today within our company. And I think we are very excited about some of the opportunities that we have in front of us. Rob and the rest of the development team and our entire group has been working very hard. It’s great opportunities to grow with large-scale development in the future. So I think the way we see the capital that’s going to come into our system from the consummation of Vegas sale is really to grow the business. As we have always said before, the dividend and share repurchases really do represent part of our shareholder return strategy, the dividend being the cornerstone. We are looking forward to the opportunity of restarting the dividend program. But as we have said, and I think, we have been consistent about the idea that we really want to see a steady return to operational cash flow, understanding what those cash flow levels are from a trajectory, and call it, a sensitivity scenario perspective and then make an assessment about the profit return of capital at that time. We really view the dividend as something that needs to return on a stable and long-term basis. And so that’s something that we will look to do when our cash flows return and we get out of pandemic operations, which unfortunately, during this quarter we were still in.
Joe Greff: Great. That’s helpful. And then maybe the gentleman from Macao can chime in on my follow-up question. Just a clarification on the draft bill on the amendments to the gaming law. Can you talk about how the government is thinking about you and others in the market maintaining specific levels of gross gaming revenues in order to maintain your table count? Can you talk about how they are broadly or specifically thinking how this will work and what the broad framework is here? And that’s it for me? Thanks.
Rob Goldstein: Grant, you there?
Grant Chum: Yes. Sure. Thank you for the question. I think the amendment to the gaming is still work in progress. It’s working its way through the legislature. We need to wait further details in terms of the final form that the amendments would take and there will be additional regulatory measures that will be potentially issued thereafter. So, in general, to your question, we have always efficiently used our table allocation, and in general, we welcome the direction of linking table allocation with productivity, but specifics, I think, are yet to be outlined.
Joe Greff: Thank you.
Operator: Your next question comes from the line of Carlo Santarelli with Deutsche Bank.
Carlo Santarelli: Hey, guys. Thank you.
Rob Goldstein: Hi, Carlo.
Carlo Santarelli: Rob, maybe if you could kind of shine some light, I know Singapore, obviously, it was kind of a tale of a couple of months. But as you have seen things starting to normalize over the course of the period, could you comment a little bit about how you felt during the better periods of the quarter as it pertains to restrictions and stuff like that when some of them were more loose?
Rob Goldstein: Yeah. We were very excited to see when there’s rays of light and you can get in and the VTL is established, it was extraordinary. And I think it indicates -- it’s a real predictor, Carlo, what’s going to happen. That place opens back up. Hopefully, we see it in the first half of the year. Clearly, demand is going to be there. The VTL -- the government’s thinking is very positive for us. I think Singapore probably gets there quicker than I think Macao might be later. But citing Singapore, the demand is clearly evident when the VTLs were open. It’s a shame. I think we had a real - a positive momentum going that got crushed by the Omicron concerns. But I think that’s just inevitable. The market is around us. I mean the important source markets are opening up, Japan, Korea, Indonesia, Malaysia, all improving. So we have a lot of hope to see a big bounce in Singapore. I would like to reference we had some non-recurring income in that quarter you should be aware of. Patrick, can you illuminate, just we are clear on the numbers on the…
Patrick Dumont: Yeah. Sure. Happy to do it. So…
Rob Goldstein: …Singapore, of course?
Patrick Dumont: Yeah. Of course, happy to do it. And Carlo, thanks for the question. One thing we did want to highlight is that we were positively impacted by approximately $70 million of non-recurring items during this quarter, including bonus reversals, job support scheme and some other items. So I wouldn’t look at this as a run rate quarter. I think I would point you back to some of the comments that Rob made on some of our prior calls about that run rate envelope during these conditions, call it, the $500 million run rate EBITDA context. The real problem is things have kind of been switched on and switched off so much. It’s hard to get a real read on the quarter. I think what is really encouraging is the vaccine travel lanes, the public health posture of the government, which really has been a leader in both vaccinations and the way they approach public health. And we are very encouraged about their approach towards long-term tourism and we are very excited to see how that plays out in the upcoming quarters. But I think, overall, the vaccine travel lanes were a big step.
Carlo Santarelli: Great. Patrick, thank you. That’s helpful. And just one point of clarity, that $70 million, was that all in the EBITDA result for the quarter?
Patrick Dumont: It was. It was. That’s why I referred back to the run rate that we talked about previously.
Carlo Santarelli: Yeah. Thank you.
Rob Goldstein: We…
Carlo Santarelli: Thank you, Pat.
Rob Goldstein: We have referenced $0.5 billion run rate until things get better over there. Until these travelings become real, we are still in the same range as our point not to get over exuberant about the $170 that it was. It is impacted by non-recurring?
Carlo Santarelli: Okay. Thank you, guys.
Rob Goldstein: Thank you. 
Patrick Dumont: Thank you.
Operator: Your next question comes from the line of Robin Farley with UBS.
Robin Farley: Great. Thanks for taking the question. I was wondering if you could talk about, you have said for a while you are evaluating online gaming and sports betting options and there’s been a little bit of a change in valuation over the last year. Can you talk a little bit about how kind of what your current thoughts are and how that may be impacted by changing valuations?
Rob Goldstein: Yeah. I think we have said in the past, we have always been interested in digital and all these interests that’s happening in the market. But two things are happening at the same time. Our business, I think, is coming back to a stronger place. I think 2022 finally, especially in Singapore, and I think, as well in Macao, we will see that getting better. Our balance sheet speaks for itself and we have all followed what’s happening in digital equities and the struggle there. So I believe there will be a day when sports betting and online gaming are very successful businesses and we will continue to look at the opportunity. We will wait patiently. It hasn’t been a bad idea to wait for the last six months to eight months to see how this shakes out and there’s done a lot of blood spill. But I think we will continue to evaluate is there an entry point that makes sense for LVS. We remain consistent, Robin, as you know and you have known for years, our bread and butter is still going to be Asia land-based as we will make -- we can’t replicate a $5 billion business, which we think will come back in place in next year or so. So that’s our first order of business and making sure our balance sheet is pristine, which now will be following the closing. But we will continue to monitor as the difficulties continue, the equity markets and the valuations change. The question is when does that situation get better? And I think it will and is an entry point for us and we will keep our eyes and ears open for that possibility. But waiting hasn’t been the worst idea to see things shake out.
Robin Farley: Yeah. Definitely not. Also a follow-up question is, can you remind us what your kind of latest thinking is on the size of the investment when you go to re-bid for the new license term? At times, you talked about things in the past, obviously, you are looking forward to investing more in Macao. Can you kind of remind us what your latest thoughts are on the size of that? Thanks.
Rob Goldstein: I am not sure I understand. Patrick, I may have been missing it. I don’t think we have a -- I mean we continue to be very bullish on Macao market despite the last 24 difficult months. We like what we are seeing, the retendering process. We are respectful of the process. We are continuing to help and be involved with the government. I don’t think we have a dollar amount in mind or a specific approach at this time. Patrick or Grant, do you want to chime in?
Patrick Dumont: Yeah. I will just say one comment and then I will turn it over to Grant. But I think the important thing to note, it’s still very early stages yet. So I don’t think there’s any details that we can really talk about in terms of our approach, because it’s not known sort of where things are going to shake out. Grant, I don’t know if you have any other comments that you want to add.
Grant Chum: No. I think that’s right. I think we just reiterate our general approach, which is continued reinvestment in our asset base and it’s worth reminding ourselves we are coming to the end of our $2.3 billion CapEx program in Grand Suites at Four Seasons and The Londoner Macao. And we have really stayed the course during the pandemic. We have accelerated the works where we can, we have overcome all the challenges related to supply chain during this pandemic and we are coming well within budget. And we are delighted with the outcome. So I think that gives you a pretty good indicator both of our appetite, but also of our resolve to continue to reinvest, in particular, in the direction that the government is pointing towards across the various domains of diversification.
Robin Farley: Okay. Great. Thank you very much.
Rob Goldstein: Thanks, Robin.
Operator: Your next question comes from the line of Stephen Grambling with Goldman Sachs.
Stephen Grambling: Hi. Thanks. I guess two follow-ups. And the first is really a follow-up on Robin’s question and Joe’s earlier question on the legislative proposal. You mentioned it is still a work in progress, obviously, but I am wondering if you could just walk us through where you feel like you do have incremental clarity and where specifically there may still be pockets of uncertainty based on the language and your conversations.
Rob Goldstein: Grant, that’s yours.
Grant Chum: Thank you for the question. I think the main -- the key aspects of the legislation have been laid out in terms of the number of concessionaires and the duration of the future concession. But there are a lot of details in that to be worked out through the legislature. We just encapsulated one through the first meeting with the legislative, but firmly and we are now moving to the winning stage. So I think we can say at this point that it is still in draft form, but we really welcome the progress that’s been made. So issue in so rapidly since the launch of the first public observation in September, it’s only been a short 12 months since that time and we are already at this stage where we are going into the committee review of the draft. So I think the government has done an outstanding job in getting us to this stage of the process so quickly with a lot of framework being clarified. But it is important to remember that this is still draft legislation and we await the final outcome, hopefully, in the coming months.
Stephen Grambling: Fair enough. Maybe as an unrelated follow-up here, you continue to have impressive cost control despite a pretty difficult environment. How are you thinking about margins and labor inflation in Macao, as well as Singapore as we think about ultimate recovery versus maybe some of the cost reductions you have made?
Patrick Dumont: So, hey, it’s Patrick. It’s something that we look at a lot with our team. And I think one of the focuses that we had during this pandemic over the last really two years has been to keep the core team together. So when we do recover, we have the ability to service our customers and get right back to business. And I think it’s to credit to Grant, to the team in Singapore and really to everyone at the local teams that we are able to keep the group together, continue to focus, continue working and keep everyone healthy and safe. And I think where we are today, as we look about -- look at margins upon the recovery, we were in a pretty efficient business both at Sands China and in Singapore prior to the pandemic. If you look at our margins in the years leading up to the pandemic, Sands China team did an unbelievable job taking a lot of costs out of the business and becoming more efficient as we grew our business there. And so I think if you look over a series of years, we have always been cost focused. I don’t want to say that there was really room in the prior operating level. What is true is that I’d like to believe that the run rate margins for the business will be consistent with those margins prior to the pandemic. The one thing to note is that in Singapore, there is going to be a tax rate change, which will impact -- a gaming tax rate will impact margins at Marina Bay Sands when that happens. There will be some slight margin impact from that going forward. But as a practical matter, we would expect to have the same margins given the same level of volumes even taking into account mix. Because if you recall in Macao, our exposure to lower margin business such as junket and VIP is less, we are more premium mass focused. So we would like to believe our margin structure will be fairly consistent upon the recovery.
Stephen Grambling: Helpful. Thank you so much.
Operator: Your next question comes from the line of Thomas Allen with Morgan Stanley.
Thomas Allen: Hey. Thanks. Can you just talk about potential future investments? I know that you have been looking at Florida and New York, any comments on those markets? And then when announced the project in UAE yesterday, have you considered that market? Thank you.
Rob Goldstein: I will take the U.S. and I will leave Patrick to discuss the UAE. Tom, as you know, we have been for years talking about -- maybe four-year time it’s been so long. New York, we are big believers in that market. The recent announcement by Governor Hochul about three licenses is encouraging. We are in the hunt. I wouldn’t want to overplay our hand, so we have -- what opportunity it might be. But it’s a massive market underserved by the current product and by any metric that should be a massive market for us. So we are deep into it. We were there last week. We have a team on the ground working through it and we are hoping to get a license. That’s all I will say about that. You have followed in the newspapers our efforts in Florida. We are in a signature gathering mode. It’s a struggle down there. It’s not an easy process to go through. But we are trying very much to be in the hunt in Florida. We really appreciate how underserved that market is and the material opportunities exist for a top-tier land-based opportunity in Florida would be wonderful. Same goes for Texas, all Texas a few years away from it. We have been down there. We have spent time in the market. We have people trying to find our place in that market if it does happen, but I think that’s probably the farthest away from the decision. Patrick, do you want to address the Wynn [ph] that you raised the UAE, what happened over there yesterday?
Patrick Dumont: Sure. Happy to. So a couple of thoughts. First off, as someone who’s in the tourism business, our company is very focused on looking at markets, evaluating them and what different markets present in terms of both competition and things that customers like. And I would tell you, if you go to UAE and you go to -- and you see the investments that are going on there, it’s really remarkable. The scale of investment, the quality of the investment is really unique to the world. It’s a very special place. And I understand why Wynn would have interest going there. It is a tremendous tourism market, has a lot of potential. And to be fair, it is an economic center for that region. So in terms of opportunity, we all understood why there would be interest there for them to go. So it’s something that we will continue to watch and look at. But there are a lot of high quality markets that are available to our company, Rob just referenced a few. And we are going to keep all of our options open and continue looking for opportunities for Las Vegas Sands to deploy capital in high quality developments. So that’s really sort of our view on that situation.
Thomas Allen: Perfect. Thank you, Pat. And then just on the MBS $1 billion renovation. It’s something you guys have been talking about for a long time, but you just added it to your slide deck this quarter. Is that just because now it’s ready, any more details on the potential disruption or time line? Thank you.
Rob Goldstein: Yeah. Well, it’s a step that it’s moving forward. I think the point we talked about a long time, Thomas, we have underinvested at times in these rooms and suites are deep into the renovation. I think we all know with the COVID environment. You always have the risk of either labor or supply chain risk. But we are moving nicely and the team, we have not been there, so I can’t say we have seen it. But the images we see are very positive and I think it’s moving at a really good pace assuming that there’s no interruptions we can’t control. Patrick?
Patrick Dumont: So, I think, what’s interesting about it and you have heard Rob reference it before, and I think our team is very focused on using this time to the pandemic to enhance our product offerings and our attractiveness to our customers. And we have always been working with the Singapore Tourism Board to help achieve their goals while we invest. And I think there’s been a focus in Singapore over the last few years on increasing high quality tourism and we believe the MBS is a leader in that area. We wanted to reinvest in the property to really enhance our suite of products and some of the other amenities that we have for our customers while we have some downtime. And so this is something that we have been looking at for many years. We have a high quality design team that will really create some of the best suites we have ever had in our system. We have had some great success with some of our efforts in Macao and some renovations with some of the new products we brought online during the pandemic and so we feel like our design level is really at a high level now and we are really looking forward to investing this amount of capital into Marina Bay Sands to create a level of suite product we never had there before, both in terms of account and in terms of quality. So this will address some of the goals that have been laid out by the Singapore Tourism Board and the government there, as well as help us address and grow our business in high value tourism. So that’s really the objective. It’s something that will happen really over the next two years. We are underway now and we hope to be complete as soon as possible. But in reality due to the labor and materials it looks like it’s going to take two years.
Thomas Allen: Helpful. Thank you.
Operator: Your next question comes from the line of Shaun Kelley with Bank of America.
Shaun Kelley: Hi. Good afternoon and good morning, everyone. Thanks for taking my question. Maybe just one, because it actually hasn’t come up, I guess, it’s a sign of the times really that, I was just wondering from either Grant or Wilfred if we could get a little color. Just on the COVID conditions and signaling on the ground in terms of possible reopening milestones you might be looking for? I believe there was actually a little bit of press from the government talking about the tourism industry and its importance. So maybe just a couple of your high level thoughts about things we can look forward to there?
Grant Chum: Sure. Thanks for the question, Shaun. I think in the last few months, if you could describe it sequentially, we have come through some local cases on COVID that occurred in Macao at the end of September to early October. So obviously, the business environment was heavily impacted during the month of October. In fact, that was the lowest month in the entire year for the GGR for the city. As we move toward the end of the year, things improved in terms of the travel board policies around Zhuhai and Macao and then you saw the business volumes and visitations recouped accordingly. Most recently, we have had some local cases in Zhuhai, which has impacted the border again, and hopefully, we are going to be coming through the other side of that as they get that under control and as they have done. So I would describe it as not a lot has changed in terms of the overall environment. The government, both central government and local government continue to control the COVID cases exceptionally well in accordance with their policies. And as we move forward, we obviously have the Chinese New Year and also the Winter Olympics. And understandably, everyone is being more cautious in terms of traveling, and obviously, it’s possible that beyond these events, as things improve in terms of the domestic cases in the various provinces and these big events are out of the way, we can look forward to a more positive picture in terms of travel.
Shaun Kelley: Great. Thank you. And then, just one probably for Patrick. But Patrick, you mentioned the Singapore tax rate. I think we picked that up in some of the local press as well. Just I was curious if you could give us a little bit more color on how that plays through. Is this the change that was actually tied back to the license extension or is this something that’s incremental or different from that, because I think there was a tie-in to that, if I recall correctly, but it’s -- frankly, it’s been a couple of years?
Patrick Dumont: Yeah. It’s just been a couple of years. This is the implementation of what was tied into the development agreements. So nothing has changed consistent with prior disclosure or prior discussions. But I just wanted to highlight it as something that may have an impact on margins going forward. That’s all.
Shaun Kelley: Great. Thank you very much.
Operator: Your next question comes from the line of Dan Politzer with Wells Fargo.
Dan Politzer: Hey. Good afternoon, everyone. Thanks for taking my question. So a quick follow-up on just the sports betting and i-gaming endeavors or analysis that you are doing. Have you given any thought or consideration to opportunities that would involve markets outside the U.S., such as Europe, are you really just focused on U.S. sports betting at this point?
Rob Goldstein: We consider all markets, yeah. We have markets that are on the table.
Patrick Dumont: Yeah. I think one thing to highlight…
Dan Politzer: Okay. And just...
Patrick Dumont: Yeah. Sorry. One thing to highlight. So I think we are not just looking at sports betting. I think we are looking at a variety of opportunities in the digital space. And to Rob’s point, in a variety of different markets, but we are not rushed. So we are building teams. We are making long-term investments. We are thinking about opportunities. We are focused on return on invested capital. And we are really looking at it through the lens of a long-term strategy that can blossom into something meaningful. And so, we are not just sort of chasing certain specific areas that may have valuations that are peaked at the day. I think we are looking for long-term high growth opportunities that present really positive returns. And so it’s not just in sports wagering, it’s a variety of different things, we are looking at different markets.
Dan Politzer: Got it. And then just a clarification on the capital allocation question from earlier and as you think about a repurchase versus the dividend, I mean, do you really need to see a more sustained recovery in Macao before returning capital or is there a scenario where you get the proceeds from the Venetian sale and Singapore starts to recover and you could be more active on that front beforehand?
Patrick Dumont: I think from our standpoint, we sort of view return of capital for a very long-term shareholder enhancing process. And I think for us, we are going to want to see a return in our markets with a stable level of cash flow and post-pandemic conditions, where there’s operational clarity before we begin return of capital. I think it’s very important for the sustainability of any dividend and a return of capital program and it’s something that we hope will come soon. There’s been a lot of investment in public health initiatives and a lot of things that are incrementally making progress in both of our markets, and we are hopeful that this occurs in the near-term. And so, once that happens, we will start to evaluate potential return of capital. But, again, we sort of view the proceeds from the Las Vegas sale as permitting us to develop large scale destination resorts in new jurisdictions to help grow our business.
Dan Politzer: Got it. Understood. Thanks so much.
Operator: Your last question comes from the line of David Katz with Jefferies. David, your line is open.
David Katz: Just I am doing myself…
Operator: David, your line is open.
David Katz: Good afternoon. Thanks for taking my question. I just wanted to, if I may, follow-up on two of the details from earlier where you talked about the $70 million and that sounds like it’s in the EBITDA line. Is that solely in Macao, is that spread, does that include Singapore…
Rob Goldstein: It’s just Singapore.
David Katz: …and it just, Rob, with respect to the $500 million run rate, which is Macao, that is excluding what may or may not have occurred with respect to Omicron in January, correct?
Rob Goldstein: Yeah. I think, Dave, we mentioned apples and oranges [ph]. I think, first of all, the $70 million Patrick referenced was solely at MBS. And my $0.5 billion reference was on previous calls, I said, I think, the current situation which runs up and down every day. We -- I think in Singapore today is $0.5 billion EBITDA annual run rate until we get further VTL and stabilization. My point is I want to -- as you are aware, we are running that same $0.5 billion. We have a lot of optimism that that will change in 2022, perhaps, first half. But that’s all Singapore related, the one-time non-recurring and that $500 million was referred to Singapore as well. We are not making any -- it’s impossible in Macao to rationally predict anything until the government makes decisions on the visitation. It would be silly for us to speculate something that’s so speculative. We have no underpinning of fact. I think once, look, we believe that market will explode when it opens back up again. But I think it’s more of the second half of the year, but then again, who’s to know? So we are not making any speculative decisions on a run rate in Macao.
David Katz: Understood. If I can just follow-up very quickly, with respect to the makeup of business in Macao, not looking for a guide or a range, but any insight around…
Rob Goldstein: Yeah.
David Katz: … how VIP business, which may go away, could be recaptured through premium mass? Any tools or thoughts and perspectives to help us think about what portion of that would be really helpful?
Rob Goldstein: Yeah. I will just give you my quick look, and I want Grant to opine as well. I think we all believe that the junket -- having done this for many years in Macao, in the U.S., these customers in that segment are going to just disappear and when they read the other junket businesses not happening. Therefore, demand will go away. It’s not going to go away. It will just resurrect in different segments and find new ways of materializing in the casino and it always is that way in any business. It goes back to any segment doesn’t necessarily just go away, because the mechanism goes away. It just evolves to a different segmentation. So we are pretty bullish that a business that was yielding 8%, 10% could be much more positively profitable as a resurrection of the segments and so that’s my take. I think any belief that the junket business segment is only just not thoughtful. Grant, do you want to add?
Grant Chum: Sure. Yeah. I think, Rob, has just spot on on that, because you have to distinguish between the end demand and the distribution of it. So, I think, clearly, some portion of the end demand and we are not going to get drawn into exactly what the proportion will shift into the other segments and that’s just natural because the end demand is there. Now, will some portion of it also dissipate and disappear. Sure, but that’s probably the portion that was not in the first place, that’s sustainable in any event. So I think the core underlying end demand that will find its way through other segments over time and we should distinguish between the end customer as opposed to the distribution system.
David Katz: Perfect. Thank you very much for taking my questions.
Operator: Ladies and gentlemen, we thank you for your participation today. This does conclude the Las Vegas Sands fourth quarter 2021 earnings conference call. You may now disconnect.